Operator: Good day and welcome to the Ashford Hospitality Trust and Ashford Prime Second Quarter 2015 Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to Ms. Stacy Feit. Please go ahead, ma'am.
Stacy Feit: Thank you. Good day everyone and welcome to today’s conference call to review results for both Ashford Hospitality Trust and Ashford Hospitality Prime for the second quarter of 2015 and to update you on recent developments. On the call today will be Monty Bennett, Chairman and Chief Executive Officer; Douglas Kessler, President; Deric Eubanks, Chief Financial Officer and Jeremy Welter, Executive Vice President of Asset Management. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were distributed yesterday afternoon in press releases that have been covered by the financial media. At this time let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks which could cause actual results to differ materially from those anticipated. These risk factors are more fully discussed in both companies’ filings with the Securities and Exchange Commission. Forward-looking statements included in this conference call are only made as of the date of this call, and the companies not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the Company’s earnings releases and accompanying tables or schedules which have been filed on Form 8-K with the SEC on August 6, 2015 and may also be accessed through both companies’ Web sites at www.ahtreit.com and www.ahpreit.com. Each listener is encouraged to review those reconciliations provided in the earnings releases together with all other information provided in the releases. I will now turn the call over to Monty Bennett. Please go ahead, sir.
Monty Bennett: Thank you. Good morning everyone and thank you for joining us. During the quarter we again posted strong operating performance at both Trust and Prime driven by the positive trends that we continue to see in the lodging sector as well as the success of our revenue initiatives. In addition both companies have been active in acquisition market and completed value enhancing transactions during the quarter. We continue to manage each business with the long-term interest of all the shareholders in mind and believe our long-term track record coupled with industry leading insider ownership among publically traded hotel REITs demonstrates our aligned interest with our shareholders. The Ashford management team has a long track record of creating shareholder value since Ashford Trust IPO in 2003. Over the years we've worked our new and innovative ways to maximize the value of our existing assets while also looking for creative opportunities to further invest in the hospitality industry. Our shareholders have benefited from our efforts. Since our IPO Ashford Trust has achieved 187% total shareholder return. We’re particularly shareholder focused as we’re also substantial shareholders in both trust with 15% insider ownership and Prime with 14% insider ownership. To put that in context the next closest hotel REIT peer has 5% insider ownership and the peer average is around 2%. Having so much of our personal capital investment in these platforms has created a high level of alignment between our management team and our shareholders. Thinking and acting like shareholders has always distinguished Ashford from others in our industry. We consider it one of our main competitive advantages and the reason for our superior long-term performance. Our structure is much more aligned with shareholder than that of our peers. Our peers get paid mostly on a size of the platform and EBITDA performance. Our advisors get paid mostly dependent upon performance with the base fee affected largely by stock price and an incentive fee based exclusively on exceeding our peers’ returns. Given our high insider ownership across both of these platforms as well as the structure of our advisory agreements, we’re the most highly aligned management team with our shareholders in the hotel REIT space. I would like to take a moment to review the refinement in strategic direction that we recently announced at Trust. Following the full analysis of the potential strategies and response to investor feedback, Trust has listed for sale portfolio of 23 select service hotels that will take an opportunistic approach to selling and will take an opportunistic approach to selling the remaining select service hotels in the future. The initial broker's opinions of value are approximately in the $575 million to $600 million range for this portfolio. We have begun the sales process and anticipate completing the sale in early 2016. Trust focuses predominantly on upper upscale full service hotels. We believe this more simplified strategy will drive superior long-term returns for Trust shareholders and we plan to redeploy the proceeds from the select service portfolio sale subject always to other factors such as the share price into accretive opportunities to acquire full service assets. This is another step forward towards our goal with the Ashford group of companies of having fairly very well defined distinct strategies within our investment platforms. Further Trust is not planning nor does it expect any future platform spinoffs. Trust will continue to target net debt to gross assets of 55% to 60% and Trust will continue to target a cash and cash equivalents balance equal to 25% to 35% of its total equity market capitalization for financial flexibility. We hope these announcements and clarification will provide investors with more conform with our strategy and will help to simplify the Trusty story. From a valuation perspective we believe shares of both Trust and Prime are currently trading at a significant discount to where similar assets are trading in the private market. Trust is currently trading at a trailing 12 month NOI cap rate of approximately 8.4% and Prime is currently trading at a trailing 12 month NOI cap rate of approximately 9.4%. Based on deals we've seen trade and other market information from industry consultants for Trust we believe similar assets to those in this portfolio are trading at a private market in an approximate trailing 12 month NOI cap rate of 7% or better while the Prime portfolio's estimated private market cap rate is 6.5% or better. We believe these private market cap rates would imply share prices for Trust and Prime of $15.85 and $27.60 respectively. Now let's review the second quarter highlights. From a macro perspective, the fundamentals in the lodging sector continue to exhibit positive trends in the second quarter with strong demand growth and supply growth remaining well below historical averages. Currently, PKF projects that supply will only grow by 1.2% in 2015 while demand will grow at a 3.1% pace. With occupancy at all-time highs, this dynamic should lead to continued strong RevPAR and EBITDA growth. In the second quarter, these positive trends supported strong performance at both of our platforms as Trust’s second quarter RevPAR for all hotels increased 6.6% while Prime’s RevPAR grew 9.0%. Much of this growth is attributable to the successful revenue initiatives we have implemented in both of these platforms as our hotels continue to outperform their competitive sets. On the transaction front, we had some notable activity during the quarter. Trust closed on the Le Pavillon Hotel in New Orleans for $62.5 million, including $4 million in key money consideration provided by Ashford Inc. This was the first Trust deal to utilize the new key money concept that Ashford Inc. recently announced. Subsequent to the end of the quarter, Trust also closed on the acquisition of the W Atlanta Downtown hotel for $56.8 million. Prime announced the $85 million acquisition of the award-winning Bardessono Hotel in Yountville, CA in the attractive Napa Valley market. Ashford Inc. provided $2 million in key money consideration for this transaction, the first key money deal for Prime, which closed subsequent to quarter end. In closing, we are proud of the strong operating performance we have continued to generate at both platforms in the second quarter and believe we are well positioned for a strong second half of 2015 as the market fundamentals in our business remain positive. We expect the more simplified and defined strategy of Trust to drive superior long-term returns for our shareholders and we continue to focus on generating value-creating opportunities for both platforms. As always, maximizing shareholder value is our primary goal and our significant ownership in the platforms and revolutionary advisory agreements ensure the alignment of management’s interests with our shareholders. We thank you all for your continued support and look forward to updating you on our progress on future calls. I will now turn the call over to Deric to review our second quarter financial performance.
Deric Eubanks: Thanks, Monty. For the second quarter of 2015, Trust reported AFFO per diluted share of $0.49 compared with $0.39 a year ago. This reflects a 26% growth rate over the prior year. Prime reported AFFO per diluted share of $0.60 compared with $0.45 a year ago. This represents 33% growth over the prior year. For the second quarter, we reported Adjusted EBITDA of $120.0 million for Trust and $29.1 million for Prime. These results reflected a 24% growth rate over the prior year for Trust and a 12% growth rate for Prime. At quarter’s end, Trust had total assets of $5.0 billion in continuing operations. It had $3.7 billion of mortgage debt in continuing operations with a blended average interest rate of 4.96%. The debt is currently 35% fixed rate and 65% floating rate, all of which have interest rate caps in place. Including the market value of Trust’s equity investment in Prime and Ashford Inc., Trust ended the quarter with net working capital of $558 million. Subsequent to quarter’s end, Trust distributed its equity investment in Prime to its shareholders. Prime, at quarter’s end, had total assets of $1.3 billion in continuing operations. It had $762 million of mortgage debt in continuing operations of which $49.2 million related to its joint venture partner’s share of the debt on the Capital Hilton and Hilton La Jolla Torrey Pines. Prime’s total combined debt had a blended average interest rate of 4.53% and is currently 55% fixed rate and 45% floating rate, all of which have interest rate caps in place. Prime ended the quarter with net working capital of $245 million. As of June 30, 2015, the Trust portfolio consisted of 127 hotels with 27,180 net rooms and the Prime portfolio consisted of 10 hotels with 3,472 net rooms. On the financing front, during the second quarter, Trust closed on a $25.1 million non-recourse mortgage loan for the Lakeway Resort & Spa in Austin, TX and a $43.75 million non-recourse mortgage loan on Le Pavillon Hotel in New Orleans. Turning to Prime, during the quarter, Prime closed on a private placement of its 5.5% Series A Cumulative Convertible Preferred Stock in a 144A offering for $65 million in gross proceeds. This transaction enables further platform growth without raising common equity at the currently depressed prices. Trust’s share count currently stands at 120.4 million fully diluted shares outstanding which is comprised of 101.2 million shares of common stock and 19.2 million OP units. Trust has 20.4 million OP units but as a result of the current conversion factor being less than one for one, these units are convertible into approximately 19.2 million shares of common stock. Prime’s share count currently stands at 32.5 million fully diluted shares outstanding which is comprised of 24.2 million shares of common stock and 8.3 million OP units. With regard to dividends, the Board of Directors of Trust declared a second quarter 2015 cash dividend of $0.12 per share, or $0.48 per share on an annualized basis. The Board of Directors of Prime declared a second quarter 2015 cash dividend of $0.10 per share, or $0.40 per share on an annualized basis, which is a 100% increase over the prior dividend. The adoption of a dividend policy does not commit either company to declare future dividends. Both Trust and Prime will continue to review their dividend policies on a quarter-to-quarter basis. Finally, subsequent to quarter end, Trust distributed the remaining units of Prime’s operating partnership and shares of Prime common stock that Trust owned to partners of Trust’s operating partnership and Trust’s shareholders, respectively. The distribution, which equated to approximately 0.04 shares of Prime common stock for every share of Trust common stock owned was completed through a pro-rata, taxable dividend of Prime common stock on July 27, 2015. Trust no longer has any ownership interest in Prime. This concludes our financial review. I’d now like to turn it over to Jeremy to discuss our asset management activities for the quarter.
Jeremy Welter: Thank you, Deric. During the second quarter Trust grew RevPAR by 6.6%. Trust assets continued to outperform their competitive sets, gaining 70 basis points of market share index. This marks the 6th consecutive quarter that Trust has gained market share. Moving to the Prime portfolio, RevPAR by 9% during the quarter, the west coast properties primarily drove this growth, with a combined RevPAR increase of 12.1%. The Courtyard Philadelphia Downtown continued its strong year, growing RevPAR by 14.6%, outperforming competitors by 170 basis points. The Washington, DC assets in the Trust portfolio showed particular strength this quarter, producing a combined 12.5% increase in RevPAR. This strength was broad-based, with 7 of 10 assets growing by double digits, and encompassed the Downtown, Crystal City, and suburban markets. We continue to feel optimistic about the long-term Washington, DC market outlook. The influx of new supply in 2014 has been mostly absorbed, and Smith Travel Research projects tepid supply growth over the next 24 months. This combined with an improving citywide calendar in 2016 and 2017 suggests continued favourable market conditions. Oil prices remained relatively low in the second quarter, primarily impacting the Houston market. Trust assets in that market grew RevPAR by 1.7%. We were pleased to see our Dallas/Fort Worth assets remain largely unaffected, as they represent a larger portion of the portfolio. Trust assets in Dallas/Fort Worth grew RevPAR by 7.3%, and the Marriott Plano in the Prime portfolio grew RevPAR by 9.7%. We maintain a positive outlook for the Dallas/Fort Worth market, and believe its diversified demand drivers will continue to shield our assets from the negative impact of cheaper oil. Lastly, in August of 2013, Trust announced a plan to convert the Beverly Hills Crowne Plaza to a Marriott. We had identified a gap in the supply of Marriott rooms in that market, with no full-service Marriott within six and a half miles of the property. In preparation for the conversion, we began a comprehensive renovation. During the second quarter, Ashford proudly announced the completion of the new product, which successfully opened on June 30, 2015 as the Marriott Beverly Hills. We are excited for the future performance of this property, and believe it will be a valuable addition to the Trust Portfolio. I will now hand the call over to Douglas.
Douglas Kessler: Thank you, Jeremy. As Monty mentioned, in the second quarter we continued to successfully execute on our investment strategies. Consistent with its new strategy, in June and subsequent to the end of the quarter, Trust announced the acquisition of a number of high quality assets with great locations and growing demand drivers. These included the $62.5 million acquisition of the 226-room Le Pavillon Hotel in New Orleans, the $56.8 million acquisition of the 237-room W Atlanta Downtown, and the $101 million acquisition of the iconic W Minneapolis Hotel -- The Foshay and the Le Meridien Chambers Minneapolis. All of these assets are well-aligned with Trust’s refined investment strategy and we anticipate them to be accretive contributors to our performance going forward. Turning to Prime, during the second quarter, we announced the acquisition of the leasehold interest in the award-winning 62-room Bardessono Hotel and Spa in Yountville, CA for a total consideration of $85 million. This acquisition closed subsequent to quarter end providing Prime with a foothold in the attractive Napa Valley market. Given the superb quality of this recently built asset, its unique location and extraordinary RevPAR generation, the highest in the Prime portfolio, this property aligns perfectly with Prime's strategy of investing in luxury assets in gateway and resort markets. Our investment strategies are focused, as Prime will continue to focus on high quality, high-RevPAR assets in gateway and resort markets and Trust, with its refined investment strategy, will focus on full-service, upper upscale hotels. We believe both of these platforms are well positioned to capitalize on the attractive lodging market conditions and will have opportunity to grow both organically and through acquisitions. As always, our goal is to provide you with superior returns across our platforms, something our track record clearly demonstrates. That concludes our prepared remarks and we will now open it up for your questions.
Operator: Thank you, Mr. Kessler. [Operator Instructions] And we take our first question from Ryan Meliker with Canaccord Genuity.
Ryan Meliker: I had a few but I will try to be brief here, the first thing that I was hoping you guys could talk about a little bit was so you published what you believe the private market value of your portfolio is and I think that is helpful for a lot of people. I am just wondering given the feedback that both Trust and Prime trade at almost 50% discounts to that private market value have you and the Board discussed any alternatives whether you are looking to -- any comment on a strategic review I am trying to figure out how you can get things on the right track just any color surrounding that you have publically stated what you think the value is how you are going to realize that value?
Monty Bennett: There is a market disconnect going on in our marketplace today between public and private market values it is big as I have never seen and we tracked it all the way back to the 90s it is really just astonishing what we find is that the private market values move from year to year somewhat modestly while public market values do move around a lot and be out of state much more so than the other way around. And so our belief is that this is a temper tantrum of sorts that is going on in the markets that will be corrected in a not too distant future. That being said we are always open to alternatives and we continue to talk in both platforms to anyway to increase value of course that is we think may be within our control. Over on the Prime side we have really focused on this and so we have been continuing our plan to de-leveraging we have added a very high RevPAR attractive assets we reasoned there is a convertible preferred deal with Ford in order to continue to try different techniques and to create value for our shareholders and the performance of the assets have been fantastic especially on the Prime side. So while putting our companies up for sale it is not something that we’re here announcing we’re constantly looking at alternative strategic and otherwise to see what we can do that’s great value for our shareholders.
Ryan Meliker: And then with regards to the discount I guess the discount in NAV and I guess you have embarked on first of all I felt the convert made a lot of sense and I think it was certainly a good way to raise capital and potentially buy an accretive asset. But how do you balance buying assets with buying back stock when you have now take the view that the stock is trading at such as a big discount in NAV and you've been pretty aggressive in both Trust and even Prime on a relatively to market cap basis in acquiring assets where you could be buying back stock and that would be much accretive.
Monty Bennett: We anticipate that the RAVE acquisitions in the second half of the year to be markedly lower than in the first half of the year. And when it comes to buying back stock no one has bought that more shares overtime than we have, we've been the most aggressive I think if any company that I know on the REIT sector you may know of more with all of your knowledge across the other sectors. And we've an opportunistic approach to buybacks for both platforms, dropping share prices certainly create a greater likelihood for buys backs but share price is not the only factor, there is a quite a few other factors that go into a buyback. So we approach every opportunity individually and opportunistically continue to look at those.
Ryan Meliker: So I know that last month when you put out your press release regarding strategic review or your strategic changes for AHT. You had mentioned that you would only be looking to buy back stock when extraordinary returns are there would the 90% upside to NAV that you are seeing across both of companies warrant extraordinary returns in your perspective?
Monty Bennett: I think you might have noticed that in our statements. We took out that line.
Ryan Meliker: I did notice that.
Monty Bennett: Yes, so there you go. Maybe that helps you with your answer.
Ryan Meliker: And then I guess the last thing I wanted to ask you guys about was -- I just wanted to get your perspective on the call with regards to the change in the external management contract structure that was announced in June. The key money from Ashford Inc, coupled with the, I guess the alteration in the structure. I understand that Ashford Inc. felt the need to get something back for the key money so the structure was shifted a little bit with the termination fee being triggered with higher level of sales. But you just said that you are not looking to buy assets at least not in the near-term. So how do you balance those to dynamics?
Monty Bennett: Well if I understand your question Ryan is that the modifications that were made to the advisory agreement were fairly minor the termination fee was just a clarification no changes there and on the change of control we did button it up but what we’re trying to avoided is gaming between platforms. There are a lot of investors out there have very short-term focus and not the long-term interest of the shareholders in mind even counter to a number of the shareholders in many regards in which we have seen and so we don't think it's fair to the other shareholders to have shareholders jump in and try to gain one platform for the other so these platforms do well because they operate in concert and help each other. And the key money concept is just one of those, that is money that can be used for the other platforms, it's a great incentive. It helps Trust and Prime grow when they otherwise could not and it lowers Trust and Prime's cost of capital, right, in order to, when you factor that in, it's a lower cost to capital that Trust and Prime had than they otherwise would. So those are the reasons behind those changes and we think they're great reasons and we think they help all of the platforms and we think over the long-term it'll really benefit our shareholders so we put these pieces in place and if we can get the public markets to behave a little bit and reflect more proper value it'd be even better for our shareholders in our strategy.
Ryan Meliker: Just one last one here real quickly on the termination fee, a lot of investors, and myself included have had a difficult time kind of modelling out what the termination fees might look like because we don't know how the expenses at Ashford Inc. would be allocated to the different REITs, are you planning to provide any color on that at some point down the road once you, maybe you just have to figure out how you would allocate these expenses but I think it would certainly be helpful for people to understand the value?
Monty Bennett: Ashford Inc. can't be put out of business. And Ashford Inc. has public shareholders so it is going concern and what we wanted to accomplish with that what our platforms wanted to accomplish is that Ashford Inc. can't just wake up one day and be out of business. And so we, from the very beginning tailored those termination fees to as best we could match the loss in value to the extent that one of those contracts go away the lost in value to Ashford Inc., well the value that those contracts bring to Ashford Inc. change overtime and it changes based upon what the allocation of those expenses are. And if you, if Ashford Inc. is able to retain the same margins before and after one of these contracts goes away the termination fee in both platforms is as low as a buck in change. What it is at any specific time is something that would have to go through at that specific time and go through this whole analysis, which is something that we haven't done. But we also find that it's not a factor that affects stock price. We found another externally managed vehicle I think we found that, I think it was in Sam's termination fee something like almost 40% of equity value and it doesn't affect him. So, I think that not only is the number at least under certain circumstances very modest but we don't think it's affecting our stock price.
Operator: Next we hear from Ian Wiseman of Credit Suisse.
Unidentified Analyst: Hi guys this Chris for Ian just wanted to come on Ryan's question in a slightly different way. I mean obviously the subsector is out of favour, but over the last four quarters you posted RevPAR growth average about 10% and yet your stock price is down 17% over that time which is have among the worst for your peers. Sentiment is obviously pretty poor. I know that you’re taking steps to simplify the businesses but just wanted to get your take on why you think the stock continues to underperform despite the results that you're posting?
Monty Bennett: You are talking about Trust or Prime?
Unidentified Analyst: Trust.
Monty Bennett: Over on Trust if you look at our results since we refined our strategy. We've outperformed our peers at least when I last looked at it by almost 15 points, 12 points 15 points. It has been very-very dramatic and that was based upon feedback that we heard from our shareholders and from we heard from our shareholders prior to that which is where the underperformance occurred that you mentioned, is a number of them just felt like our strategy was a little confusing. There were concerns about the select service platform being dividend and out of Trust and therefore that destroying some value and so despite the fact that we assured them that was not in our plans, at some consulting for them for shareholders we thought that just absolutely taking that off the table and saying that Trust would not be a launching any type of select platform would help that concern and also settling down and more closely focusing our strategy. So after the spin offs based back in November and it was some of the activity over the spring we think that there was some confusion about the platform and we think that that led to underperformance and since we have clarified that with investors we've had a dramatic outperformance and we expect that to continue.
Unidentified Analyst: And then on the NOI margin, really probably the biggest source of the earnings fee, other sense is that percentage of revenue declined from around 600 basis points over 2Q '14 just wondering how that just how much of the decrease is related to Highland’s consolidation and how we should think about NOI margins in the back of the half of the year?
Monty Bennett: For this past quarter what effected our NOI margins are flows when the 40% NOI flows and first as your some margins get higher and higher having 50% flows like we typically try to achieve has a less impact on margins just the way the math works. This past quarter our incentive fees impacted us negatively and in property taxes and those without those flows have been significantly higher. We have a policy on property taxes is that as soon as we’re assessed something we book it and only if and when we’re able to beat it many times years later do we offset it and that is a little different practice than our peers, our peers sometimes I think most of them will just kind of estimate would they think that all is going to come in at and so some of those assessments that have come in over the past quarter as a lot of those locals have seen a great opportunity to increase their tax base as burn some higher assessment so we go ahead and book them. We almost always get some call back of those and have those come down as far as the last half of the year I don’t know how to predict whether there is going to be anymore property tax assessments from these locals that will be materially higher like we were in the second quarter. And incentive fees, that is just a math calculation that we can help you with offline about which properties effects and how much and under what circumstances.
Operator: Next we have from Thomas Allen with Morgan Stanley.
Thomas Allen: So you are divesting the 23, 27 [indiscernible] and so I'm just wondering once you have those proceeds would you be interested in portfolio acquisitions and on the topic of acquisition I mean you were highlighting your strategy refinement folks not earning a proxy on your full service hotels. But can you give out a more clarity around kind of maybe market exposures you are interested and/or intercity versus [indiscernible]? Thanks.
Monty Bennett: On the select service portfolio we hope that will close sometime in the first quarter of this coming year right now we very intended it to believe you are saying that so we plan on redeploying those proceeds and other acquisitions but it depends and it depends upon what's going on in the marketplace as far as stock price and another factors so that's the plan as we sit here this moment but plans can change because we believe we are one of the most aggressive capital end up and best capital allocators in the business and want to make sure that we did get the best returns for our shareholders and I am very intended to do that. Please repeat that second part of your question.
Thomas Allen: Just trying to get your interest in the portfolio acquisition?
Monty Bennett: Yes. If we decide that we should redeploy the capital on acquisitions then portfolio acquisitions are certainly something that we would look at.
Thomas Allen: And do you think you can compete better given your cost of capital and then the final part of the question is just around a little more detail around kind of markets that you are interested in?
Monty Bennett: We think we can compete generally because not many of our weak peers are going after assets that's we target we are targeting all kind of food service hotels and generally in the top 25 markets although we look at outside those markets but a lot of our peers won't focus on what's -- it's one of the top three or four markets at least that's what we have experienced and so and a lot of these other markets we don’t see the other REITs pursuing and so there is a competition there and there is our cost of capital so we have to continue to look at that but cost of capital can be a complicated thing it's not a simple as what look to NAV is we find ways of making money in all different types of situations so anyway we have to go through all of it at the time.
Thomas Allen: Okay. And then any other says on the Courtyard Philadelphia a potential entrepreneur? Thank you.
Monty Bennett: Sure. We would like to what strategically say about assets but the performance continues to be just absolutely fantastic and we don’t think that the prices that we’re seeing in the market place for that assets probably reflects the short term upside and so we are reluctant to dispose it under those circumstances would still like to were going to keep monitoring it and then this side as we go.
Operator: Next we have Chris Woronka with Deutsche Bank.
Chris Woronka: Want to ask you about the Bardessono acquisition in are you how much kind of asset management upgrades I guess I'll say have you built in to that in terms of your forecast then also is there any consideration for a soft brand?
Monty Bennett: Right now we are not looking at the soft branding options but we are we always consider it we looked at it when we under wrote it but we will constantly revisit that because we think in many situations that can add value we think there is a lot of upside on this and when we issued our press release and gave some our initial thoughts on what the first year could do we were fairly conservative and tepid in our forecast because that’s just our nature. But now that we’re in that property we see a good bit of opportunity. The food and beverage department with $3.5 million of revenue runs an 8% profit. Well in most of our hotels we run close to 25% profit. That is a huge delta on the revenue side. We have a much more sophisticated revenue management system that had been employed at that property and the Prime management team had done great work in many respects. So no intended disrespect and they were a much smaller team and we've got some great resources on the revenue management side that they don't have. So we think that property can do fantastically well. So we’re very excited about it.
Chris Woronka: And then just going back to the Select service assets that are for sale Trust, it looks based on your press release it looks like you will have maybe 200 million plus of proceeds and I won't really ask the share repurchase question again but how do you think about if you wanted to redeploy those into acquisitions, how you think about the timing on that. I know you have done a few deals in June and July was that kind of ahead of this sale or are those net proceeds kind of viewed differently when they actually come in.
Monty Bennett: Well those proceeds will be coming in the first quarter. So in the public markets that’s a long, long time. So our acquisition pace is going to be markedly below on second quarter what it was in the first quarter, and I'm not promising that we’ll do any we want to be very selective. But as we sit now our net debt to gross assets is a little on the high side, it's slightly above 60%, so we keep that in mind as far as what we continue to do. So we think it's going to be acquisition opportunities where we sit here today, we think we can deploy that capital accretively but that doesn't mean that that’s where we end up and our stock price and where it is trading is a big factor, but it's just too far away when we receive those proceeds for me to sit here and tell you for sure what we’ll do with them.
Operator: We’ll now hear from Robin Farley with UBS.
Robin Farley: I have two questions, my first one has kind of an asked already, but maybe I'll just ask it slightly differently and just going back to your comments in the press release that your stock would have 90% upside if it were at private market valuations. I know you said that share prices is not the only factor in when youdecided to do a buyback, but could you maybe give a little more color on then what else is more compelling if you feel that there is 90% upside there versus acquiring other assets -- significant amount of other assets this year at what I guess we’ll conclude on much higher prices and buying back your own stock?
Monty Bennett: When you look at buybacks there is quite a few factors that we look at, and we think everyone should looks like. And stock price is one of them. But there is the volume that stock that you think you can get and how long it takes you to get it, when you are buying back stock and doing things like that it increase limitations of what you can do in the marketplace and what you can announce, there is a liquidity of your stock and we believe especially on the Prime side, that it is liquidity is very -- low liquidity is very detrimental to be a stock price. We think it's just very modestly affected Trust very, very minorly but we think it's significant over in Prime. We look at our cash on hand and what we think we might want to use that cash for and you have to plan it out because you don't know when you will be able to replenish that cash. And do we have the cash that we want to keep in have on hand if and when we go to recession. There is other opportunities and where we can deploy it like you mentioned including other acquisitions there is our long-term strategic goals and what we want to accomplish as a company that we think helps long-term value. We look at where we think the stock is going to be in six to 12 months. If we think the stock is going to be significantly lower that’s the reason not to do buybacks, and to wait for that period of time for example. But there is all kinds of other reasons not to do buybacks. We think if the stock is going to run up shortly that can have an impact on the alternatives that we’re looking at. And therefore we want to hold off for a little bit. When you would look at the price we last raised equity at. We look at other sources of capital that we have. So all of these go into a buyback strategy and one other factor is that realizing that when you get rid of that cash for buyback it's not like it's easily accessible again to just grab on to it, so we’d look at all ways and I want to repeat that no one has bought that more shares overtime than we have. So we’re a very stock buyback oriented, but we very carefully look at quite a few factors.
Robin Farley: And then also just kind of a bigger picture question maybe thinking about your where you are in the cycle and all of that, just when you look at how maybe there is sort of better RevPAR growth right now, that select served properties versus full served properties in the U.S., I guess what are your thoughts about kind of moving out of select and into full service at this point of the cycle or how should we think about your strategy relative to where we are in the cycle?
Monty Bennett: There's a lot of opportunity in full service and when it comes to repositioning in value add, in full service always has much more opportunity in that regard than select service does, and that being said I think select service is a great sector to be in as well for its own reasons. But full service has got great value add opportunities and there's great opportunities in that sector and we think we've got a number of years left in this cycle and we think the market is going through a heavy over reaction and we've seen this in the past in this cycle and in the past cycle. So we think that we'll just keep on posting these strong fundamentals and keep executing our business plan.
Robin Farley: If your [indiscernible] kind of have that full year guidance, unchanged every quarter but when you look at kind of what some other folks are doing with their guidance. Maybe the way to ask it is, when you started the year your expectations, your internal expectations for where RevPAR would be for the year, has that moderated similar to maybe what some other lodging companies are saying?
Monty Bennett: Our RevPAR performance so far this year has exceeded our expectations, we're very-very pleased with our results and as far as guidance goes we discussed that topic extensively here the past number of weeks both in our management team and our Board and we keep coming back to the same conclusion in that we just don't see a lot of benefit. We see what happens to our peers, especially in these past few weeks that have missed their guidance and what happens to their stock price and how bad that is for investors. And we look at our own track-record and note that our stock performance has been one of the best, I think it has been the best since we've been public and we haven’t given guidance, so it is just hard for us to come to the conclusion that giving guidance will help our performance of our stock price. We think with Trust there's a little bit of a noise here this past couple of quarters and therefore the consensus numbers got out of whack, but Deric and his team has worked with analysts, and analysts have updated their models so that's getting back on-track and so we think that was just little hiatus where there was a decent mismatch between what our internal expectations were and what consensus was, so at this time we're not focused on providing guidance. We just think it might hurt our shareholders as much more than it helps them.
Operator: We've time here for one final question, that'll come from Sean Kelly with Bank of America Merrill Lynch.
Sean Kelly: So Monty I just wanted to go back to the NAV discussion on, I believe in the press release could you just remind us that when you said the 8.4 versus the 7.0 those are trailing cap rates, is that correct?
Monty Bennett: Yes, those are trailing cap rates.
Sean Kelly: So, when we look at the number of acquisitions, a number of the recent acquisitions you guys have done and I think you've done a handful over the last six months, we averaged those out including our portfolio in June right around 7.8% cap rate and that's a forward, so presumably those are better than you core portfolio because you're buying them to and you have got opportunities ahead with those so I'm struggling a little bit with if you're buying at 7.8 why do think you'd be worth 7.0 on trailing if you're buying at 70 on forward?
Monty Bennett: Sure, the way you're describing it is we think it's not the right way to look at it. What we do is we take our stock price and we look at where we think, we know it is today and where we think it's going to be about five years from now as best as we can, based always going on the industry and then we look at potential acquisition and if we buy that acquisition with the stock price at that price is it accretive to our stock price or not. And if that accretion that we focused on in increasing stock price so when you look at individual assets many of our value add initiatives don't hit in the first year just takes too long, we kinked the CapEx in the first year for sure for instance. And so the first year numbers are just not that perfect to look at and this is the analysis we go through, so we find this has been better way of allocating capital than the one that you described and I think our results show it. So I think that's the mismatch that you're seeing and we'd be happy to go over it in more detail with you off line so that you can better understand how we approached it.
Sean Kelly: Yes, I mean, I'm finding it difficult but again 7.8, if you can improve those numbers than you’d be buying at an even higher forward cap rate than that and that just doesn't seem to square to 7.0. Like I mean I can't say it any more simply than that because again you'd be buying at a number of, assuming that you can improve the onset that would probably be 8.5 on forward so why would you be worth 7.0 on trailing?
Monty Bennett: You're looking at it wrong, you're looking at it the wrong, you've got to look at the accretion to the stock price that's what matters all of those that you just described are factors that go into the long-term accretion of the stock price. But what matters in the end is the accretion to the stock price so it's probably better if we talk offline and we take an example and go through it step-by-step because we just look at it differently we think that's the way you are describing is not the right way to look at it in a vacuum those are factors those are not all the factors.
Sean Kelly: But when you are comparing it's off the private market values. Like those should be apples-to-apple you are comparing yourself to where things are trading and we could just compare to where you are buying.
Monty Bennett: I'm not sure how to answer this question a different way.
Sean Kelly: Okay. We can follow up offline.
Operator: And that concludes our question-and-answer session. I'll turn the conference over to Mr. Kessler or to Mr. Bennett for any additional or closing comments.
Monty Bennett: Sure. Thank you all for your participation today and we look forward to speaking with you again on our next call and seeing you at our investor day which has been scheduled for October 28th in New York.
Operator: Thank you. That does conclude today’s conference call. Thank you for your participation.